Vincent Clerc: Good morning, everyone and thank you for joining us today, as we present the 2022 Full-Year and Fourth Quarter Results and an outlook for 2023. My name is Vincent Clerc, I'm the CEO of A.P. Moller Maersk and I'm joined today by our CFO, Patrick Jany. We can move past those, yeah. As I take the helm from Soren Skou, I'm thrilled to deliver a record financial year in all aspects. Last February, Soren looked back on a record financial performance in 2021 and yet 2022 full-year revenues of $81.5 billion and EBITDA of $36.8 billion, topped the previous year's by 32% and 53% respectively. Each segment contributed to this record result right across the board. We delivered precisely on the guidance that we set after Q2 2022 despite the fact that just after we gave that guidance, ocean freights and volumes tumbled as lower consumer demand and inventory corrections set in. We also generated record free cash flow of $27 billion, exceeding our guidance and enabling us to propose a dividend payout of DKK4,300 per share. Together with our proposed share buyback of approximately $3 billion, this means that we intend to return approximately $14 billion of cash to our shareholders this year, an incremental $4.4 billion more than in 2022 or an increase of 46%.After the many pandemic related supply-chain disruptions, we're not heading back into normal as we knew it from before, but into a more volatile and unpredictable world, one that will necessitate new capabilities to be successful. We have learned the lesson that there is a growing demand for supply chain resilience and significant value to capture by delivering it. Beyond the current inventory correction and volatility, that is what the integrated strategy is about and that is what we will keep working on at a faster pace. With a broad operational control that we enjoy, the logistics capabilities we have acquired and the resources we now have available, we know that we are the best-positioned to take advantage of this opportunity and deliver sustained growth and more resilient earnings for AP Moller Maersk. But before we look in 2023, let's take a moment to review the highlights of 2022 on Slide five. Aligned with our strategy, we decided early on in the pandemic to invest in the long-term potential of our customer relationships rather than maximize the short-term rate gains of the commoditized freight market. Our goal with this is to sustainably lower volatility in the ocean business, accelerate the commercial growth synergies in logistics and move towards a higher service quality level. This paid-off for us as our Net Promoter Score hit a new record of 33, an increase of nine points year-on year. This is an excellent result in an environment where customers still have to face historically high price and many hurdles. It is also a lead indicator of the continued growth potential we see in logistics and services as we head into 2023.Moving to our employees, we won't be able to reach our full potential as a company without being able to recruit and retain the best talent. And for this dimension, we measure and react to our company's engagement score. We have a goal to be in the 75th percentile as measured by Gallup and in 2022 we made substantial progress earning eight percentage points year-on-year to have the global organization in the 67 percentile. I'm very pleased by this proof that Maersk is an employer of choice and I know we couldn't have gotten where we are today without the tremendous energy and dedication that our people bring to their jobs every day. On behalf of everyone here, I want to thank all of them. As we discussed many times in the past, our M&A strategy is focused on enabling us to build and scale logistics capabilities across the full supply chain rapidly. In 2022, we made significant strides closing in -- closing on our three largest logistics acquisitions to date with Pilot, Senator and LF Logistics together worth approximately $6 billion. We are delighted to welcome our new colleagues from these organization and the integration of each of these three companies is progressing very well. Finally, our sustainability agenda is also part of how we differentiate and here we made significant progress. We were able to accelerate our goal to net 0 from 2050 to 2040. We ordered an additional six vessel that can run on green methanol and we work towards securing the green methanol supply for those ships. In 2023, we look forward to the first delivery of a green methanol feeder vessel and achieving further milestones as the industry leader in decarbonization. Turning now to Page six to review our segment highlight for the fourth quarter. While we had anticipated a steep normalization in the ocean market -- freight in the ocean market freight rates for the second half of 2022, this was accompanied by a steeper than expected decline in volumes with import volumes into North America and Europe from Asia falling in the mid 20s percentage due to inventory corrections at large retailer and lifestyle brands. The effect of this volume decline are visible across all our segments. In ocean, our average contract rate remained essentially in line with the levels expected earlier in the year, despite the tremendous drop in demand customers continue to support us with their volumes and we maintain 70% of our long haul volumes on contract for the full-year. This is also what we expect for 2023 as customers continue to appreciate longer-term certainty and closer direct relationship. Naturally, the effect of the drop in the spot rate is having a profound effect across the industry during the annual contract negotiations and we expect our average 2023 contract rates to eventually move towards prevailing spot rates. We are also seeing continued resilience of our multi-year contract portfolio, index rates contracts with approximately 1.9 million FFE by the end of 2022, despite the higher trailing rates. Logistics and services was not immune to the inventory correction, affecting the global supply chain. In Q4, we saw a 2% decline in organic revenues as volumes dropped. The drop was less pronounced than in Ocean because of the high underlying commercial momentum we're having. Thanks to large wins, illustrating this momentum, our top 200 customers who are our main targets fared better. They contributed 4% to our organic revenue growth and they're contributing to about half the revenue growth in the fourth quarter. Going forward, we aim to continue to grow our penetration across our top 200 customers where our share of wallet is still low and has big potential and gradually expand the scope of target customers beyond those 200. In Terminals, the story was similar, remembering that the changes in shipped volumes are visible in the turbulent volumes with a delay of about 30 to 45 days. As we will see in the next slide, lower volumes have reduced port congestions, which also affected the extraordinary storage revenues and incomes which drove the outstanding performance in 2022. That said, once we factor out the impairment of our Russian activities, the resilient and attractive return profile of our terminal activities is clear at over 12.3%. Turning now to Slide seven. Let's review where the market stands in terms of pandemic related congestion, as we are hopefully putting the worst effects of that behind us. As you can see from the chart on the left, after successive waves of congestions over the past two years, the Global Port situation has returned to close to pre pandemic levels at least across most of the western economies. Moving to the middle of the page and right hand charts, you can see that the sharp decline in import volumes I previously mentioned with levels in North America and in Europe now trending below pre pandemic averages. This decline appears to be caused by inventory correction and therefore we expect demand to stabilize back up, but to stabilize at a lower level in H1. As we just saw the effect of this normalization was visible across all Maersk segments in Q4 and we expect this to play-out similarly in 2023 as well, with a reversion to the mean, in H2 benefiting logistics and services and terminal in particular. Ocean volumes will benefit as well but supply side risks following the delivery of large tonnage order will bring new uncertainty during that period. Predicting when we will see the last of the pandemic related effect has been very challenging -- has been a very challenging exercise, as we simply have never seen this kind of volatility before, but slowly it seems that we are getting to a place where volatility is more moderate than what we saw at least in the last two years. Moving to Slide eight, before I get to our 2023 guidance, let's touch on how we delivered our long-term transformation KPIs in 2022. As for most of the year, we are solidly in the full green range except for logistics services and terminal EBIT margins. Here we do see the effect of the impairment, primarily of our Russian activities. Adjusting for those impairments, which Patrick will get to later, we would have been in the green on those KPIs as well for the year. Although I have been with Maersk for over 25 years, I took over the wheel just shy of 40 days ago and it is a tremendous privilege to lead Maersk. I am very excited to build-on the foundation that we laid with Soren. I have seen the potential of the integrated strategy and believe in its ability to take us away from the commoditized and volatile aspect of the ocean shipping industry, even if some hard work still needs to get done before we are fully there. One of the first changes I have made is to bring an expanded executive leadership team. We have a wealth of experience in-house that I want to draw from as we head into the next phase of our transformation. In challenging periods, such as the one we are facing now, it is important that all key decision-makers are at the table together which is why I have assembled this expanded team. Specifically, I want to capture the full breadth of experience and expertise that we have all I expect of diversity play a role here, in particular diversity of thought and opinion. So, my team is made-up of colleagues from around the world, some of whom are Maersk lifers and other who bring valuable external knowledge to the table. Our first concrete change has been one that many things was a long-time coming to integrate and unified our brand structure. We believe that this move allows us to make it easier for customers to get access to the full integrated offering seamlessly and will create internal efficiencies. Now as we look into the challenge of the market in 2023 and beyond, as a team, we will have to relentlessly focus on operational excellence and productivity, increase the scalability of our activities, while maintaining a tight grip on cost. Turning to slide 10, as I mentioned earlier, our experience during the last couple of years has convinced us that our integrated strategy is the right response to the needs of our customers in rapidly changing and volatile environment. Now is the time to lean-in and accelerate. The world of global logistics remain fragmented and inefficient. Every day our customers struggle with difficulties related to visibility, reliability and resilience. With the forces of climate change and geopolitical tension at play, the potential for systemic shocks and increased complexity will only rise. Our response continues to be to integrate our logistics activities and take our platform both digital and physical to the next level, so that we can better serve those customers needs. Our by Maersk models are the ideal framework to do that and take accountability for the supply chain outcomes when it comes to transport, fulfillment and visibility and flow management. Through external growth, we have acquired significant capabilities. Our next step is to focus on scaling those capabilities worldwide to improve productivity, while keeping the pace of launching new products. A key proof points will be to deliver continued double-digit growth in logistics and services, while maintaining profitability above 6% in the more difficult 2023 market environment. As I mentioned earlier, the foundational aspect of the integrated strategy is to disconnect from the commoditized aspects of the ocean shipping industry. And therefore, we have made a clear decision not to renew the 2M Alliance with MSC. When we created 2M back in 2015, there was a significant value in pulling networks as we had to face in a new generation of more than 20,000 TEU plus tonnage and needed to maintain flexibility on capacity management. Since then, we have grown our volumes significantly, gained scale and got better at capacity management, so much in fact that the synergies from the pooling have decreased significantly. At the same time, the dis-synergies from having divergent strategic goals have increased. Following our strategy, we are convinced that this is the time to move beyond the traditional ocean service model. It is time to make Ocean an integrated part of the end-to-end value proposition we bring to our customers to seize the opportunity I mentioned a few minutes ago. To do this, we need to regain and retain a strong level of control of the service levels we provide, that cannot be achieved in an alliance structure. Our customers require their service providers to step-up whether it is in providing sustainable transport solution or moving complex land side or solving complex land side challenges and this will be the direction of travel for Maersk. We have the scale and competitive costs base to stand on our own and deliver on our customer expectations for the future and look-forward to rolling out a new exciting products for our ocean customers. For 2M, it will be business as usual over the next two years as the notice period is served and our focus will be on the transformation of our ocean product as part of our global integrator strategy. Now let's turn to the 2023 guidance on Slide 12. I won't read out all the bullet points from this slide, but I want to highlight a few specific drivers to our guidance. As I mentioned previously, we expect the first that the first phase of 2023 will see a stabilization of the inventory correction, which marked the second part, the second half of 2022. That said, at this point in time, economic growth is expected to be muted or essentially flat for the full-year. Demand stabilization in the back-half year -- in the back-half of the year should help the recovery of all segments in particular in logistics and terminal business. However, as we note in the Blue sidebar, given the ocean industry outlook, there could be supply side risks for Ocean in the second half of the year. Based on these assumptions for the full-year 2023, we expect an underlying EBITDA of $8 billion to $11 billion, an underlying EBIT of $2.0 to $5 and a free cash flow of at least $2 billion. Our cumulative CapEx for 2022 to 2023 is unchanged at $9.0 billion to $10 billion and we introduced a new cumulative target for 2023-24 of $10 billion to $11 billion. From a reported earnings perspective, we will take an impairment and restructuring charge primarily for the restructuring out of our brands that I touched on earlier, but of course, our annual guidance is on an underlying basis. With that, I would like to hand over to Patrick before I get myself too deep into the financial highlights. Patrick?
Patrick Jany: Thank you, Vincent and also from my side, thank you to everyone for joining our conference call. As Vincent touched on previously, 2022 was a record year, with peak profitability reached during Q3 and the long-awaited normalization in ocean setting in, in Q4 as congestions disappeared. Despite the rapid drop in both spot rates and volumes, we delivered fully on the guidance set-in August even exceeding guidance when it comes to free cash flow. For the quarter, it meant an EBITDA of $6.5 billion and an EBIT of $5.1 billion respectively down year-on-year by 18% and 25%. Free cash flow continued to climb though, driven by operating cash flow, up nearly 15% to $6.5 billion, which contributed to the record full-year free cash flow of $27 billion, $3 billion ahead of our guidance. Thus, we ended the year with a significant cash position of $28.6 billion when considering short-term deposits and securities. And our net-debt position was effectively a net cash position of $12.6 billion in Q4.This supports our proposed dividend payment of DKK4,300 per share equivalent to a cash out of $10.9 billion, which implies a total of $13.9 billion returned to shareholders when considering the ongoing share buyback program of $3 billion for 2023. Now let us turn to the development of cash flow on Slide 15, starting with our operating cash flow on the left. In Q4, we generated $8.2 billion driven by our EBITDA of $6.5 billion, as well as a favorable unwinding of net working capital of $1.7 billion, which led to a cash conversion of 125%. Our gross CapEx was $895 million, bringing us to a full-year gross CapEx spend of $4.2 billion in line with guidance. As a reminder, we guided back in 2021 for a total CapEx of -- for 2021 and 2022 of $7 billion and we came in at $7.1 billion. So we are on track with our investment plan and as you've heard, we are maintaining our two-year cumulative cost CapEx guidance to be $9 billion to $10 billion for 2022 and 2023 and we are guiding for 2023 and 2024 to be between $10 billion and $11 billion. In those years, we will have reached the CapEx run-rate of both investments in our integrated growth and also our green methanol fleet renewal program. Coming back to the quarter, our $6.5 billion of free cash flow was used to distribute $708 million in form of the share buyback, while the majority nearly $3 billion was placed in short term deposits over three months, bringing us to a net cash flow of $1.8 billion by the end of the quarter. Turning to Slide 16 and our balance sheet, which we introduced last quarter. This table provides details on our cash position, reaching an all-time high as we continue to accumulate cash over the quarter, with our cash balance of $28.6 billion, implying a $6 billion progression compared to -- in Q4 and $12 billion compared to the previous year. This leaves us with a tremendous balance sheet and the priority of shareholder returns. Therefore, we propose a dividend of DKK4,300 per share, a 72% increase on the dividend paid in 2022 and a reflection of our record financial results. This proposal represents 37.5% of our 2022 underlying net result and is in line with our dividend policy of a payout between 30% to 50%. It also means a 27.5% yield based on our share price of the end of the year 2022. Following approval at the March 28th AGM, the resulting payout of $10.9 billion is expected by March 31st. Including the anticipated share buyback of around $3 billion the return to shareholders as previously said in 2023, we'll be at $14 billion or nearly 36% of our market cap. And looking-forward, we remain committed to approximately $3 billion annual share buyback until 2025, which implies an additional $6 billion to be returned in 2024 and 2025.Thus we will not only return most of our cash position overtime, but we anticipate a progressive re-leveraging of our balance sheet, like to remind you that our goal is to maintain our BBB rating and therefore a normalized leverage ratio should be in the range of 1.5 times net-debt to EBITDA by the horizon of 2025. Moving to Ocean on slide 17, the quarterly progression starts to show the effect of both lower rates, coming off the peak levels in mid-2022 and lower volumes as lower consumer demand and inventory destocking hit seamlessly [indiscernible]. Our Q4 volumes were 14% lower compared to previous year, which is actually a relatively good performance when seen in the context of the mid 20% declines in the major Asia, US and Asia Europe had holdings where we have a significant exposure. Our fourth quarter average freight rates on the other hand were only 3.5% lower year-on-year, but the bigger drop came sequentially where rates were down 23% quarter-on-quarter, almost entirely due to the fall in shipment rates, so very much in line with our forecasted rate erosion pattern we had been guiding for since early last year. We saw the benefit of our contract coverage in our EBITDA margin, which was lower than previous quarter in the year, but still at a tremendous 45%, very close to the margin achieved for the whole year of 2021. The decline in EBIT was primarily due to a lower top line, of course, but with a smaller offset from lower operating cost ex-bunker. Moving to Slide 18, we show the relative in respect of elements of the change in EBITDA. Here we see that the principle driver was really the volume effect and for the first time since Q2 2020, we see a negative effect on freight rates. As in Q3, when freight rates began to decline, the release of revenue recognition is seen as a benefit under other revenue. As long as we continue to see shipment rates decline, this will continue, but to a lesser degree as the rate of change has slowed. On Slide 19, we look into the details of rates and volumes and the retreat from the Q3 peak levels in average rate is clear as I touched on previously. When we think about the progression of 2023, we expect to have some continued benefit from our contract rates in the first part of the year and particularly in the first quarter. But over the course of the year that advantage will disappear as contracts are progressively negotiated at rates close to prevailing shipment rates. As mentioned earlier, Q4 loaded volumes fell by 14% year-on-year as inventory corrections led to ship as dramatically reducing the volumes which led to blankings and a lower capacity utilization of 83% when compared to 90% in the previous quarter. This volume decline showed up quite evenly between shipment and contract volumes. Close observers will know that we finished the year at 70% of our long-haul volumes on-contract compared to 71% where we were after the first-nine month. So yes, there were substantially somewhat lower volumes on contract, but the vast majority of them held up and we expect a similar contract to shipment split for the long-haul volumes in 2023.Moving to Slide 20, as in previous quarters of 2022 bunker remains the primary cost driver. Lower port congestions growth slightly lower container handling costs, but as anticipated, the inflationary pressure meant that bunker was also going up. Without the bunker, costs were actually down by 5% when compared to previous year. Although the cost of bunker actually came down sequentially, it was still up 17.3% in the fourth quarter, driven by a 29% average broker increase, partially offset by lower consumption due to lower volume shipped. On slide 21, we turn to logistics and services, revenue growth of 28% this quarter was driven primarily by our acquisitions. LF in particular, which contributed just over [ $270 million ]. As we touched on earlier, the destocking is being felt across all segments and volume driven aspects of our product offering in NNS, for example, in supply chain management, our warehousing volumes which were particularly affected. Thus, we saw a 2% decline in organic revenue in Q4 2022.If we look a little deeper, the picture is a bit more positive as our top 200 customers contributed 4% to the organic growth. In terms of profitability, the lower volumes clearly weighed on margins as of the organic business as did an impairment for partnership assets of $21 million. Excluding impairments, the full-year underlying EBIT margin would have been in line with our full-year target of over 6%, with a figure of 6.1%.Moving into 2023, we expect the early part of the year to be similarly affected, but that demand will stabilize when the current destocking in multiple verticals ends and volumes at our customers improve. From a profitability perspective, we expect to be in line with our long-term targets for the full-year, but the recovery will be loaded towards the second half of the year. Taking a look at the details of logistics and services on Slide 21. In -- managed by Maersk, we see the effect of inventory corrections in lower supply chain management volumes. The custom services volumes continued to grow year-on-year though, but was sequentially lower. This volume and the new contract signed particularly in lead logistics were the main drivers of the strong EBITDA margin. Fulfilled by Maersk, we see the effect of the consolidation of LF Logistics in terms of revenue growth. Lower organic volumes were affected by contract logistics and e-commerce and the latter is where we particularly see the effect of lower consumer demand and this is where the impairment took place this quarter. In Transported by Maersk, we continue to benefit from the integration of Senator, but lower volumes especially in NCL and Intermodal made themselves felt. In all, it was not an easy quarter for [ LS ], but looking at the full year, we are encouraged by our 21% organic revenue growth and look forward to improve profitability in 2023 when the current destocking ends. As we progressively roll out new digital visibility products and improve our ability to scale our integrated logistics offering globally, we will be able to gain an even greater share of our customer as expected.On Slide 23, we turn to Terminals, where once again the effect of lower volumes is visible. As we have been anticipating, the extraordinary storage revenue and income driven by port congestions has started to recede as the flow of goods improves. In addition, the lower volume shipped in the Q4 in absolute terms also had an effect, which was observed specifically in our ports on the West Coast of the U.S. and in Spain. Therefore, the lower revenues and profitability in the segments are very much expected. That said, terminals remains an extremely resilient business with strong pricing and good cost control, which made it possible to offset the inflationary cost increase in 2022. The segment ROIC of 7.6% is still affected by the impairment of our Russian activities and adjusted for that, we continue to have an excellent ROIC of 12.3%. As we look towards a full normalization of the extraordinary storage income, we are confident that the segment ROIC will remain above the targeted 9%.Moving to Slide 24 for the terminals at average, here we see the effects of lower volumes quite graphically compared to Q3 2022, we noticed a much smaller revenue per move effect as lower storage revenue offsets the higher revenue based on tariff increases. Rising inflation and [ hedging ] prices are seen in the cost element, but changes in provision are also a significant element this quarter. As is typical for this industry, most of our customer pricing is CPI linked with price increases occurring primarily at the beginning of the year, which implies an eroding positive effect as the year progresses. To finish up on the Slide 25, we turn to Towage & Maritime Services. While each of the businesses here has quite individual drivers, the segment itself showed quite a balanced picture. Maersk Supply Services has benefited from this year's activity in the oil and gas industry. Towage also enjoyed a strong quarter, while Maersk Container Industries is affected by a very weak market demand, another late effect of the pandemic volume driven demand normalization. Profitability in Q4 was driven by strengths in impairments, specifically in this case as regards our holding autoliner which impacted results positively, while previous year was impacted by an impairment in Maersk Supply Services. This concludes our segment review and I would like to hand over to the operator for the Q&A session.
Operator: [Operator Instructions] The first question is from the line of Robert Joynson, BNB Paribas. Your question please.
Robert Joynson: I have a question for Vincent on strategy, if I may. Vincent, you've been the CEO of Ocean and Logistics since 2019, you've been -- I think it's fair to say instrumental in the development of the global integrated strategy. You've also I think been pretty clear since taking over as group CEO you don't anticipate any significant changes with respect to the group strategy with Soren over store. But equally not two people are exactly the same, so perhaps could you provide some color on areas where you do see things differently than Soren previously or any areas where the strategy may evolve going forward?
Vincent Clerc: Hey, Rob. So I think what we have seen is that this strategy has really, really worked for us. If you look at the growth that we have been able to generate on the logistics side for the past two years now consistently, it's something that for me is a strong proof point. What we will see now in 2023 is that we can bring those proof point even when the container markets are in a completely different place. We strongly believe that we can because fundamentally, even though the congestion that we have seen in the last couple of years has abated, the problem -- the fundamental supply chain problems that our customers have about visibility, about reliability, about resilience, these problems are still there. And the opportunity for Maersk to actually solve these problems has so much value potential for customers and for us that this is worth pursuing. So the strategy will largely continue as it is. My own preference or my own philosophy to it is more of an organic first because what we're trying to do is very differentiated and very different from what customers are otherwise getting. So we will only do acquisition in very, very specific cases and otherwise, we'll continue to focus on the organic growth engine that we have. And we will otherwise continue to integrate also Ocean much further into what we do in logistics, so that it is really one business towards the customer.
Operator: The next question is from the line of Sam Bland with J.P. Moran. Your question please.
Sam Bland: It's basically -- if I look at the $8 billion to $11 billion EBITDA guidance, could you give us a feeling for how much benefit there is there from the sort of higher contracted rates you had through 2022 flowing into the first few months of 2023, basically trying to get a sense of approximately what the exit rate of profitability looks like or maybe the profitability of the group in the second half of the year once those high contracts are out.
Vincent Clerc: Yeah. Hi, Sam. So indeed, we will enter the year with -- we're still quite a high level of contract rates as you've seen in the Q4, we have had an erosion of the shipment rates, but we are still living with a high contract rates, we have been able to secure with our customers. These are now being renegotiated progressively and therefore, you'll see Q1 and Q2 being fairly strong in terms of EBITDA contribution and EBIT contribution from promotion and that will level out in the second half of the year where progressively seeing the major contributions in terms of EBIT, particularly but in also terms of EBITDA will come from the other businesses as we move on.
Operator: The next question is from the line of Dan Togo Jensen with Carnegie Investment Bank. Your question please.
Dan Togo Jensen: Maybe can you share some color on how you see costs development. You have previously stated that cost base will be pretty steady when it comes to network, handling, et cetera. How should we see that developing in the course of '23 and are we starting to see some relief in the cost base?
Vincent Clerc: Yeah, Dan, so we -- on one hand, as you can see also, when we talk about our terminal segments, we're still seeing some inflationary pressure in our cost base from some of our vendors. But we're also seeing relief in different areas. One of it is as the market normalizes, time charter rates will also normalize. And then the other thing that is really, really important is the fact that throughout 2022, we've been selling basically at max speed because we're always trying to catch up on the delays that there was. This is something that we have stopped doing. Now with the current level of normalization and we're able to actually reimplement slow steaming across most of our network, which will also help us actually abate some of the pressure. So the goal for us on cost is that we can roll back the inflationary pressure and try to maintain our current cost level about equal on a unit cost basis and that is true for across the ocean and logistics.
Operator: The next question is from the line of Sathish Sivakumar with Citi. Your question please.
Sathish Sivakumar: I got a question around the demand. Can you clarify what is your current visibility on bookings across Ocean and Logistics? Last year, you like had about three months of visibility on bookings. Any color on that that have actually started off the year would be helpful.
Vincent Clerc: So our visibility is usually about three months out and that's pretty common because of all the aggregate level of purchase orders that we handle from our customers through our managed by Maersk activities, indeed, logistics. That continues to be the case. That's why we see this -- the importance of the inventory reduction here in the fourth quarter. We expect that this will continue in the first quarter and then a gradual recovery in the second and then a more normal environment in line with the consumption, assuming that the macro stands to where it is today, that's how we should see the year pan out.
Operator: The next question is from the line of Patrick Creuset with Goldman Sachs. Your question please.
Patrick Creuset: Just looking at your logistics print in Q4, there seems to be quite a slowdown in the pace of organic revenue performance and also profitability. And it does seem to coincide with the easing of capacity constraints on the ocean side. And I know you've pushed back on the idea that logistics benefited from the tightness in Ocean that you've seen in '21, '22. Is this still your view? Or should we prepare for a bit of market share loss perhaps in '23, '24 in the division? And then secondly, are you confident in the cost and integration measures you've put in place to protect profitability?
Vincent Clerc: Yes, so let me just take that quickly. I mean basically what has happened is quite simple. When you have that inventory correction, it doesn't only affect ocean volumes, it basically works itself through the entire supply chain. And what that means is, you have fewer POs to process fewer containers to consolidate, fewer containers to move, fewer containers to deconsolidate, distribute and so on and so forth. And you have the warehousing footprint that you have, you have the organizational footprint that you have. We're not going to start reducing the size of the organization, while we still expect the growth to come back on the other side of this. So what you're seeing with the performance on logistics and services is, as we see a sharp adjustment of volumes, this on top of the cost base that we have will mean that the margin will suffer a little bit for a couple of quarters and then it will come back. What is actually reasonable is that volumes have dropped overall by more than 10% and our volumes have dropped only by 2% in -- our revenues have dropped only by 2% in logistics and services and what that means is underlying, we still have a lot of growth that growth comes from the implementation of new customer wins that we're having and there our pipeline continues to be strong. So I think for us the goal on logistics and services is very simple. We made the commitment that we're going to have a growth above 10% on an organic basis. We intend to deliver that and that we can deliver every year margin above 6%, which shows that it's a profitable growth and we don't just buy it and we're going to deliver that. And that's really what the proof point of the strategy is going to be this year.
Operator: The next question is from the line of Lars Heindorff with Nordea. Your question please.
Lars Heindorff: Question regarding the Ocean volumes, you've been growing I know that ocean global growth has been down by around about 4% and I think also in the presentation that you compare to growth more with what goes on in the big East, West trade lanes. But still on a global basis, you've probably been underperforming a little bit. Given the indications that you will keep your capacity flat and what we see of inflow from some of your competitors, I want to hear your thoughts about your comments that you expect to grow in line with the market in '23.
Vincent Clerc: Yeah, so as you rightfully say in Q1 to Q3, we made -- we took the conscious decision that we were not going to grow our fleet at a time where the price of tonnage was at historic high. And we knew that this -- the circumstances would abate soon and so we would be stuck with the cost for a long time. So we let go of some volumes there. In Q4, there is no doubt that with the market going -- dropping 10% or we think about 10% to 11% and us dropping 14%, we have underperformed a little bit because of the exposure that we had to this East-West trade line specifically to the verticals in retail lifestyle and technology, which have been the ones where we have grown a lot and that have actually felt the normalization you could say or the inventory correction the most. Going forward, I mean, our ambition is that since the market is going to be flattish, our ambition is actually to deliver also flattish volumes. We will make a few adjustment possibly to the size of our fleet, which has actually grown -- going into the pandemic, we're at 4.1 million TEU, we worked our self up to 4.3. So we will probably decrease it a little bit in order to move the volumes that are similar to this year, but on a smaller fleet, right?
Operator: The next question is from the line of Anders-Redigh Karlsen with Kepler Cheuvreux. Your question please.
Anders-Redigh Karlsen: My question relates little bit to the working capital. Are you -- since rates are coming down, are you also expecting to release a part of your working cap here?
Patrick Jany: Yeah, indeed, as you actually have seen in Q4, we have already quite a positive impact on our cash flow and the difference between the EBITDA and the operating cash of working capital being released. And we are progressively unwinding the capital which -- working capital which has been increasing over the last two years with the higher rates, right? So as we collect the receivables and volumes came down, we are unwinding that. We would still expect an impact here, probably also skewed towards the first half of the year, more in Q1 and Q2 of probably more or less the same magnitude as we reversed in Q4 will be the amount probably for the whole year of 2023 and that would bring us back to levels where we were pre-pandemic in terms of working capital.
Operator: The next question is from the line of Ulrik Bak with SEB. Your question please.
Ulrik Bak: On your tax investments for '23 and '24 of $10 million to $11 billion, can you perhaps just a broad breakdown of those costs and also clarify if potential M&A is also included in that guidance?
Patrick Jany: Yes, so on the CapEx, we are basically just having the -- we are arriving as we said in speech now, as well other run rate, right? So we had guided for $9 billion to $10 billion now for '21 -- '22 or '23, which means we have 4.2 in '22, which means that for '23, you can expect anything with a five in front. And if you continue that as a run rate, you're probably between the $10 million, $11 million that we have -- we are guiding for the next two years, right? So we are coming at a level which is close to the run rate where we replenish our fleet with a green methanol replacement and we have also enough to invest in new terminals for the growth of terminals and obviously, the main component here, the growth in the [indiscernible]. That is therefore pure organic growth and CapEx expense, has no M&A. Obviously, the acquired company of the past have their own CapEx needs, which is included in that number.
Operator: The next question is from the line of Alexia Dogani with Barclays. Your question please.
Alexia Dogani: I just wanted to go back to your statement that, obviously, contract rates are correcting close to spot and we have a bit of a timing lag in the first quarter until those contracts are repriced. But clearly, spot is going close to pre-pandemic levels, if not hitting them and you've just said that your unit cost is going to stay flat at best case of current levels, which are 45% above pre-pandemic. So is it fair for us to expect post Q1 that we will likely see losses in the following quarters that may potentially par forward into '24 as clearly oversupply is coming in both years.
Patrick Jany: So indeed, the mechanism is absolutely correct, right? So you will see in Q1, Q2 an erosion of the contract rates as we renew new contracts closer to shipment levels or spot levels, that will imply a reduced profitability of Ocean in the second half of the year. And then as we highlighted as well, there is obviously the risk of this additional capacity coming into the market in the second half of '23 and '24, which will have to be tackled by the industry in terms of blankings and slow steaming and we see the reaction here of the industry. As far as we are concerned, we remain disciplined, we are blanking, we are slow steaming and we are not increasing our capacity. In terms of our cost, it will remain, as we just said fairly flat, always component considering the bunker component, right? So we expect bunker to come down, which in absolute terms is also then an absolute cost reduction when you look at the second half of the year. But it certainly means a lower profitability, very low profitability for Ocean in the second half of the year.
Operator: The next question is from the line of Parash Jain with HSBC. Your question please.
Parash Jain: My question is more on demand outlook and speaking to perhaps your theme or different verticals data that you see, do we have a sense of if the U.S. retailers have managed to address excess inventory situation in the past peak season. And it's more of a matter of improvement in business and consumer confidence that will bring them back to the market? Or you think that excess inventory situation will persist well into the first half of 2023 and that is backed into your guidance?
Vincent Clerc: So our understanding of this, Parash, is that they have -- their industry -- the inventory, sorry, are in the process of correcting, different companies are at different stage, some have had more, some have had less, some have had earlier, some have it later. But it's still a process that is unwinding right now. What we understand is that the pace of sale is more sustained than the pace of shipments because that's how they work it down. And that's why we expect that in the second half, we will see -- assuming that the level of consumption holds which so far, that's the indication. We will see the volumes that move through the supply chain, converge back up to trend where consumption actually is rather than to be lower than that because of the inventory correction.
Operator: The next question is from the line of Muneeba Kayani with BofA. Your question please.
Muneeba Kayani: Just if you could give some color on contract negotiations so far, like how much of Asia Europe have you signed so far? Are you also kind of signing new contracts on Transpacific kind of just a bit more color on the contract season this year.
Vincent Clerc: So we've signed about half of our contract, we have half of our volumes for -- contracted volumes for 2023 signed up. Some of them are through the long-term contracts that we have signed off already in '21, '22 and that continue into '23. And the other part is some of the contracts that we have that are calendar year based or and that we have negotiated. So that gives us about half and that's why I think we have a pretty good foundation for the guidance. A lot of the contracts that we have negotiated so far are contracts of customers that are housed in Asia and in Europe because, as you know or as you may know, U.S. contracts usually are based on fiscal year started from May 1st. And so those contract negotiations with our U.S. customers are mostly negotiations that take place in the second half of March and beginning of April.
Operator: The next question is from the line of Andy Chu with DB. Your question please.
Andy Chu: Quick question on freight rates. Do you think that freight rates have troughed or is there further downside risk?
Vincent Clerc: So it depends on whether you consider this on the short-term freight rate, which would be kind of the lead indicator of where this is going or the average. The short-term freight rates, if you look at the CFI and so on seems to have stabilized. So that would be one indication. Of course, as Patrick mentioned, the contracts are being renewed slower. So the average freight rate will continue to decrease as those contracts get renewed and implemented with lower tariff levels. So expect the average to continue to decrease into -- up into Q3. And then what we should see is a stabilization at least through the next couple of quarters of the short-term rates.
Operator: The next question is from the line of Petter Haugen with ABG Sundal Collier. Your question please.
Petter Haugen: My question relates to the alliances. You are now stepping out of the 2M Alliance as natural step you say and I guess two-part questions. To what extent do you expect that to still hold you back for the next few years being in that Alliance? And secondly, how do you expect the concept of Alliances to develop in the container industry going forward further from here?
Vincent Clerc: So if I start with the latter part of your questions, I think that the situation that 2M wasn't as quite unique because it's an alliance of the two largest carriers and both of us had reached a size where actually we could stand alone if we wanted to. I don't think any of the other carriers today would be able to have the comprehensiveness of coverage that is required to be competitive or the cost base to say I can stand alone. And therefore, I think the way to think about what is happening with 2M is today there are three major networks on the East West, in the future, there will be before. There will continue to be probably a couple of alliances and Ocean Alliances going into 2027, so that's at least in the next four years of stability there. It's hard to see how the alliance would make a significant change given that both MSC and Maersk intend to have a mostly standalone network. So I would expect some -- simply a transition from three to four networks and that is really meant to -- I think it's not as much of a change as what has been made today. At least I don't expect this role of musical chairs that has been talked about with everybody trying to find new partners. With respect to how is it going to hold us back? Well, there is no doubt that as we -- as I mentioned, what is the future for us is not to have Ocean as a separate business from logistics, but is to have our Ocean business fully integrated into our logistics business. And in order to do that, we need to have a much higher level of operational control of our -- the service that we deliver to customers. And so the quicker we get there, the more it allows us to accelerate the integration of Ocean and moving away from this commodity game that we're in that doesn't really -- that we can see very clearly now doesn't lead anywhere and moved in a more differentiated offering. So it's going to slow us down a little bit to implement this and we'll have to see also with MSC what are some of the measures that we could implement within the alliances for -- during the next two years that will allow us to test and progress what we're trying to do here.
Operator: The next question is from the line of Sathish Sivakumar from Citi. Your question please.
Sathish Sivakumar: Yeah, so just following up on the cost comment actually. If I look at your fuel consumption, it's actually down 9% quarter-on-quarter. So just to understand, on the slow steaming, are you like already in that process of time implementing slow steaming in Q4? Or is it more like an addition you'd see more reduced of in consumption?
Vincent Clerc: Sorry, so in Q4, we already saw as basically terminals decongested, we already saw that ships no longer had to basically sail at full speed and actually even the ships that were delayed because we were blanking sailing, they could simply slide into the next position and we could slide everything. Now what we're doing is we're actually institutionalizing it in the schedules and that is something that is being implemented right now.
Operator: Ladies and gentlemen, in the interest of time, we have to stop the Q&A session and I hand back to Vincent Clerc. Please go ahead.
Vincent Clerc: Okay. Thank you all of it and in closing, I would like to leave you with the following final remarks. Our record 2022 results leave us in the extraordinary position of proposing a dividend of DKK4,300 per share, which in combination with our existing share buyback program means that we intend to return approximately $14 billion to our shareholder over the course of the coming year. Despite this tremendous payout, we keep a strong balance sheet as we head into what is clearly a more challenging economic period. We believe that we have a window of opportunity now to accelerate our investor strategy. Together with my new executive leadership team and all my Maersk colleagues, we will lead the way in increasing visibility, reliability and resilience to the global supply chain, leaving up to our corporate purpose statement of improving lives for all by integrating the world. And with that, I would now like to hand back to our operator and close the call, sorry. Thank you. Bye, bye.